Operator: Good day, everyone and welcome to the Extreme Networks’ Second Quarter 2015 Earnings Results Conference Call. This call is being recorded. With us today from the company is Chuck Berger, the Chief Executive Officer; Ken Arola, the Chief Financial Officer; and Frank Yoshino, the Vice President of Treasury and Investor Relations. At this time, I would like to turn the call over to Frank. Please go ahead, sir.
Frank Yoshino: Thank you, Andrew and welcome to Extreme Networks’ second quarter fiscal year 2015 earnings conference call. This conference call is being broadcast live over the Internet and is being recorded on behalf of the company. Should you wish to not be recorded, please do not ask questions during the Q&A. The recording will be posted on Extreme Networks’ website for replay shortly after the conclusion of the call. The presentations and the recording of the call are copyrighted property of the company and no other recording or reproduction is permitted unless authorized by the company in writing. By now, you have had a chance to review the company’s earnings press release. For your convenience, a copy of the release and the supporting financial materials are available in the Investor Relations section of the Company’s website at extremenetworks.com. I would like to remind you that during today’s call, management will be making forward-looking statements within the meaning of the Safe Harbor provision of the federal securities laws regarding business and financial outlook. These forward-looking statements involve a number of risks and uncertainties, some of which are beyond our control, which could cause actual results to differ materially from those anticipated by those statements. These forward-looking statements apply as of today and you should not rely on them as representing our views in the future. We undertake no obligation to update these statements after this call. For a detailed description of these risks and uncertainties, please refer to our most recent report on Form 10-K filed with the SEC, as well as our most recent Form 10-Q filed with the SEC in addition to our earnings release posted a few minutes ago on our website. Throughout the conference call, the Company will reference some financial metrics that are derived in accordance with Generally Accepted Accounting Principles, or GAAP, all other metrics are not in accordance with GAAP. This approach is consistent with how management measures the Company’s results internally. However, non-GAAP results are not in accordance with GAAP and may not be comparable to non-GAAP information provided by other companies. Non-GAAP information should be considered a supplement to and not a substitute for financial statements prepared in accordance with GAAP. Reconciliation of the non-GAAP information to corresponding GAAP measures is in our earnings press release issued today. In preparing non-GAAP information, the Company has excluded, where applicable, the impact of acquisition and integration costs, purchase accounting adjustments, amortization of acquired intangibles, and share-based compensation. Now, I will turn the call over to Extreme’s CEO, Chuck Berger, for some opening comments.
Chuck Berger: Thanks, Frank. Good afternoon and thank you all for joining us for our fiscal Q2 earnings announcement. We made solid progress during the quarter reporting non-GAAP revenues of $148 million at the high-end of our guidance of $140 million to $150 million and above consensus. Non-GAAP EPS was $0.05 within the $0.03 to $0.07 guidance we provided and above consensus of $0.04. Non-GAAP revenues grew 8% over the prior or first quarter. We have strengthened the balance sheet substantially during the quarter ending with $109 million in cash and reducing debt by $32 million driven mostly by strong receivable collections. Ken Arola, our CFO, will give you details in a moment, including both GAAP and non-GAAP results. We experienced quarter-over-quarter revenue growth in the U.S. Canada market, EMEA and Latin America. We carried nearly $4 million in bookings that could not be shipped in time to meet the quarter end deadline into the third quarter. These were all shipped this month. During the quarter, we added a substantial number of new customers, including an additional two NFL venues, the Packers and Ravens and another Division I school, University of Maryland. We further expanded our relationship with the NFL as we were named the official Wi-Fi solutions provider for the NFL and the official analytics provider for the soon to be played Super Bowl XLIX. It should be noted that Extreme has won 8 out of the last 10 NFL venues that have added Wi-Fi to enhance their customers’ experience. 3 out of the 4 teams in the division championship round a little over a week ago were identified customers, including both winners and both Gillette and CenturyLink stadiums are Extreme Wi-Fi venues. We extended the reach of our venue business entering into a partnership with IMG who represents over 90 colleges and universities. IMG and their clients like the NFL. Our focus on enhancing the fan experience and providing easier access to existing and new services made possible by the availability of high performance reliable Wi-Fi. We continue to innovate and deliver great products to the market during the quarter announcing the Summit 460-G2 gigabit edge switch, our most powerful edge switch with industry-leading port density and latency. It is also optimized to take advantage of NetSight, our network management solution, the Extreme NAC solution or network access control solution and purview analytics. We extended our IdentiFi wireless solution with the AP 3805 bringing extreme functionality to the market at a lower price point. Our partnership with Lenovo strengthened during the quarter on many fronts. Most notably we are selected as their networking partner for their high performance computing solutions that we jointly announced at the Supercomputing Conference in November. We have continued productive discussions at all levels with Lenovo as our partnership with them continues to evolve. We further strengthened our leadership team particularly in sales as our new Chief Revenue Officer, Jeff White, added Stephen Patak and Bob Gault to his team to head up the U.S., Canada sales and worldwide channel organizations respectively. Combined they have over 30 years of experience in networking. We also added Frank Yoshino as Vice President, Treasury and IR and David Hume as Chief Information Officer. Finally, Raj Khanna joined the Board bringing added industry knowledge and over 30 years experience as a financial executive at Xerox, Sun and most recently as Head of Internal Audit at Qualcomm. Our ability to continue to attract very high caliber executives and Board members from industry is a testament to their belief in the future prospects for Extreme. Finally, our leadership position in the industry was reinforced by addition of six companies to our technology solutions partner program including Microsoft, VMware and Palo Alto Networks. TSP members now totaling 60 are committing to support the Extreme open end standards base SDN technology analysis past summer. Additionally, Extreme was ranked fourth in Gartner’s critical capabilities for wired and wireless LAN access infrastructure in 5 out of 6 categories. Ken will give you specific guidance for the third fiscal quarter at the end of his comments. However, I would like to share one comment with you first. In the past we committed to 10% year-over-year revenue growth and 10% operating margin in the fourth fiscal quarter of this year. Our commitment was based on expected lift from improved sales execution, the return of E-Rate and improved sales and channel execution and from our relationship with Lenovo. We strongly believe these forces will begin to come to have an impact throughout the rest of the year and beyond. However, it is now clear that it will take longer for them to have enough impact to deliver 10% year-over-year growth. Lenovo’s acquisition of the IBM X86 business was delayed by nearly 6 months and the integration of a nearly $5 billion company is a monumental task. While we expect E-Rate to be able to close – while we expect to be able to close E-Rate business in the fourth quarter, funds will actually not be available until after July 1. Finally, while we are making daily substantial progress on completing integration and upgrading of our sales force, it is clear that we still have considerable work to do going forward. We will give specific guidance for the fourth quarter during our third quarter earnings announcement, but at this point we still expect seasonally consecutive revenue growth and improving profitability. We expect to reach the metrics previously committed to in 2 to 4 quarters beyond the fourth quarter of 2015. Now, I will turn it over to Ken before opening the floor for questions and answers.
Ken Arola: Thanks, Chuck. As I walk through our Q2 fiscal results today, I’d like to remind you that while this is the fourth quarter, we are reporting full quarter of combined results. We completed the acquisition of Enterasys on November 1 last year. So, our reported fiscal Q2 2014 results only included two months of Enterasys results. Therefore, when I mentioned year-over-year comparisons, I am doing so on a pro forma basis as if the two companies were historically one for the entire second fiscal quarter. This is the last quarter we will have to make pro forma comparisons. With that, let’s review our second quarter financial results. As Chuck mentioned, we are pleased with our non-GAAP results for the second quarter with revenues coming in at the high-end of our guidance range and EPS solidly within the range, both exceeding consensus estimates. In addition, we improved the balance sheet substantially. Strong cash collections allowed us to end the quarter with a $109 million in cash on hand while paying down $32 million in debt. Q2 GAAP revenue was $147.2 million compared to $136.3 million in quarter one. Q2 non-GAAP revenue was $148 million, up 8% compared to $137.1 million in quarter one and compares to $159.7 million in Q2 last year. GAAP and non-GAAP product revenue was $112.5 million compared to $102.7 million in quarter one. Non-GAAP product revenue was $124.3 million in Q2 last year. GAAP service revenue was $34.7 million compared to $33.6 million in quarter one. Non-GAAP service revenue for quarter two was $35.4 million compared to $34.4 million in quarter one and $35.4 million in Q2 of last year. On a sequential basis, North America, Latin America and EMEA, all grew quarter-over-quarter. Turning to our geographic splits, North America revenues were 40% of total revenue compared to 42% in quarter one, EMEA’s revenues were 42% of total revenue compared to 41% in quarter one, Asia-Pacific revenues were 9% of total revenue compared to 12% in quarter one, and Latin America revenues were 9% of total revenue compared to 5% in quarter one. Now, moving on to gross margin and operating expenses. In Q2, GAAP gross margin was 51.1% compared to 51.8% in quarter one, non-GAAP gross margin was 54.6% and compares to 55.6% in quarter one and 56% in Q2 last year. During the quarter, we continued to realize the benefits of reduced product cost resulting from pricing negotiations with key suppliers and the consolidation of distribution warehouses. These benefits were offset by pricing pressures that resulted in higher levels of discounting on product sales. In particular, we had a large deal in Latin America that carried an extraordinarily high discount. Additionally, to meet customer commitments, we incurred higher freight cost as we shipped a greater percentage of product by air versus ocean due to the back-end loading of orders. Q2 GAAP operating expenses were $86.2 million compared to $87.7 million in quarter one. Q2 non-GAAP operating expenses were $74.1 million and compares to $75 million in quarter one and $82.3 million in quarter two 2014. The sequential reduction in our operating expenses relates to our planned reductions of SG&A spend, post ERP integration and lower compensation related expense. These reductions were partially offset by nearly $1 million in one-time legal and accounting expenses. Second quarter GAAP operating loss was $11.1 million compared to a loss of $17.2 million in quarter one. Second quarter non-GAAP operating income was $6.7 million or 4.5% of revenues compared to $1.2 million or 0.9% in quarter one and $7.1 million or 4.5% in Q2 last year. GAAP net loss for quarter two was $13.1 million or $0.13 per share compared to a net loss of $19.3 million or $0.20 per share in quarter one. Non-GAAP net income for the quarter was $4.7 million or $0.05 per diluted share and compares to a non-GAAP net loss of $900,000 or a negative $0.01 per share in quarter one and $5.3 million or $0.05 per diluted share in quarter two of 2014. Now, turning to the balance sheet, Q2 total cash, cash equivalents, short-term investments and marketable securities are $109.3 million compared to $104.5 million at the end of last quarter. In the quarter, cash flow from operations was $39.8 million, up from $1.6 million in the prior quarter and up from cash flows used in operations of $6.8 million a year ago. Cash flows were favorably impacted by the strong collections we experienced in the quarter. Additionally, with the holiday season many vendor payments were held and scheduled to be paid the first week of January. Accounts receivable were $93.5 million at the end of Q2, down roughly $6 million from last quarter and DSOs improved to 57 days this quarter from 67 days last quarter. Inventory was down about $900,000 from last quarter to $54.4 million. During the quarter, we paid down $31.6 million in debt including $30 million on outstanding revolvers and $1.6 million on the term loan. We were in compliance with all bank covenants at the end of the quarter. Before moving on to guidance for quarter three, I want to remind everybody that the March quarter has typically been slower across the industry. As a result, we have typically seen revenues sequentially down in the low double-digit range. With that as a backdrop, we expect Q3 GAAP revenue to be in a range of $129 million to $139 million and non-GAAP revenue to be in a range of $130 million to $140 million. Gross margin is expected to improve sequentially with GAAP gross margin anticipated to be in a range of 51% to 52% and non-GAAP gross margin anticipated to be in a range of 55% to 56%. This reflects our anticipation of lower levels of discounting in quarter three and we have moved back to shipping more by ocean versus air. Operating expenses are expected to be down sequentially as we continue to focus on managing our spending and to be in a range of $83 million to $84.6 million on a GAAP basis and $72.5 million to $74.5 million on a non-GAAP basis. Our tax expense is expected to be consistent with the Q2 levels. GAAP net loss is expected to be in a range of $14 million to $19.5 million or a negative $0.14 to $0.20 per share. Non-GAAP earnings are expected to be in a range of a net loss of $3.1 million to a net income of $1.8 million or a loss of $0.03 per share to net income of $0.02 per diluted share. The GAAP and non-GAAP average outstanding shares are expected to be 99 million and 101 million respectively. And I will open the call for questions.
Operator: [Operator Instructions] And our first question for this afternoon is from the line of Mark Kelleher from D.A. Davidson. Your line is open.
Mark Kelleher: Great. Thanks for taking the question. Let me start with the discounting in the quarter, what was driving that, why were you discounting and why do you think it will be less discounting in the next quarter?
Ken Arola: Yes. So across the board, Mark this past quarter in all regions we saw a lot of competitive bidding going on with companies like Cisco, Juniper, etcetera. And in particular we had one that I mentioned just in the prepared remarks where we had some heavy discounting in one particular deal in Latin America. But across the board just general competition, but the fact that we had larger deals that we had a more deep discounting on to win the business, had an impact this quarter. We don’t anticipate at this point in time quarter three to have deals like I mentioned in Latin America. We had to go so deep in discounting during the quarter and return more back what I would call more normalized discounting for us.
Mark Kelleher: Okay. And then on Lenovo maybe you could kind of go a little deeper into there. I know we were kind of expecting that to show some progress by the June quarter. It sounds like that’s been pushed out a little bit. Is there other issues inside Lenovo and the integration of IBM, what are your expectations for when that really gets noticeable in the revenue line?
Chuck Berger: Well, as I mentioned, Mark, we continue to make progress almost on a daily basis with Lenovo across the board the high-performance computing. We actually – that was mostly one before even the acquisition closed competing against the captive networking business, inside of – which is now inside of Lenovo. So, we are seeing solid progress there. Now, all of our products are on their price list including wireless, where we just see things taking much longer to move forward based on the complexity. First of all, the delay in closure of this deal by nearly 6 months from the original anticipated date and secondly just the magnitude of the effort of a very large Chinese company digesting a $5 billion division of IBM – longstanding division of IBM. I think as I said in my comments we are still expecting the kind of results that we have talked about before. We just think there are another 2 to 4 quarters out.
Mark Kelleher: 2 to 4 from here or 2 to 4 from June?
Chuck Berger: 2 to 4 from June to be conservative.
Mark Kelleher: Okay, thanks.
Chuck Berger: I should comment, Mark, the E-Rate, the sales force acceleration, the impact of channels will not take nearly that long.
Operator: Thank you. Our next question is from the line of Alex Henderson from Needham. Your line is open.
Alex Henderson: Thanks, guys. So, you kind of got to a little bit of the question in the last answer, I was just trying to get some clarity around what exactly you meant by hitting the 10%. You are saying the 10% growth and 10% operating margins by either the December quarter or by the June quarter. I assume you are not going to hit that in either September or March quarters. Is that the way to think about it?
Chuck Berger: It would be to certainly reach it by the December you are right or June quarter. It would be challenging. Well, the 10% year-over-year growth in the March quarter would not be challenging, but given the seasonal downturn that we have had every year of nearly 10% from the December quarter to the March quarter, I think maintaining that operating margin in that quarter maybe challenging.
Alex Henderson: Okay. Can you tell me what in either the December ‘15 quarter or the June ‘16 quarter is going to deliver that growth, what product lines, I mean, what am I using as a metric to track this? Is it a function of Ericsson increasing? Is it a function of Lenovo revenues increasing? Is it a function of the datacenter growth? Is it wireless growth? How do I build up to a 10% growth rate given all of the variables that are under pressure in your business, for instance, I would assume that you are not assuming a lot of growth in the traditional campus business?
Chuck Berger: Last comment correct, that, that is a market that as you know is at best 1% or 2% growth and more likely, not that good, I think the metrics you need to watch are really two things – three things. Our overall sales force effectiveness as Jeff White and his much strengthened team after this past quarter get traction and putting in place far better sales process and pipeline management and talent capabilities than we have had in the past in training and things like that, secondly, the continued evolution of the Lenovo relationship, and thirdly, we expect the impact throughout the year of the $2 billion of funds committed to E-Rate frankly far more than in the past. In the past, although Enterasys had a pretty good amount of focus on E-Rate legacy Extreme did not and now collectively a much larger company is highly focused on that and working virtually every available E-Rate deal in the K-12 marketplace out there. I will reiterate my comments about Ericsson in the past. Business that we primarily get from Ericsson today, we expect to continue to be level to slightly up. There is other opportunities as their cloud business expands for us with Ericsson. It’s just hard to predict the timing of that and which deals we would be included and which ones we might not be. To your point about from a product standpoint, we showed 25% quarter-over-quarter growth in wireless in the December quarter. We are putting increased emphasis on that. By the time we get into the time range that we are talking about here 802.11 Wave 2 will be starting to hit the market and unlike 802.11 AC Wave 1 where we were late to market, we expect to be an early market entrants on that conversion. And then finally our data center business grew Q1 to Q2. And we continue to focus on that as part of the growth engine. But the three big things on our sales force execution Lenovo and E-rate.
Alex Henderson: Okay. So the data center can grow 10% or greater or no?
Chuck Berger: I believe we can get to the market growth rate which is as you know in the 10% area.
Alex Henderson: Okay. Thank you. And I will cede the floor.
Chuck Berger: Thanks Alex.
Operator: Our next question comes from the line of Matt Robinson from Wunderlich Securities. Your line is open.
Matt Robinson: Hi. Thanks. When you look at – do you think this E-Rate, if it kind of slips into the September quarter as seems like some of it will you think you can have a little bit less sequential decline than you normally have in the September quarter. And I have got - Ken I was wondering if – a lot of volatility and accounts payables, wondered if there is anything in particular behind that and if we should expect the benefits you had from working capital in terms of cash flow that reversed in the current quarter significantly?
Chuck Berger: Well, I will talk about E-Rate first and let Ken answer the payables question. We believe we can do something approaching $10 million of E-Rate business in the June quarter based on people committing funding and expect it committing to business and expect that we get funding after July 1. I think there is a far greater potential after July 1 when funds will actually be available. So we haven’t quantified it, but I think you can expect that to have a positive impact on our normal seasonal Q4 to Q1 dip. And Ken you can tackle the AP question.
Ken Arola: Sure. So Matt our AP – as I mentioned on the call we actually delayed some payments towards the end of the quarter instead of making payments during the holiday season. We pushed them to the first week of January in essence and that caused our accounts payable to grow about $15 million quarter-over-quarter. And I would expect that’s coming back down to a more normal number now. And we have actually had some pretty significant payments in the first part of this quarter here in relation to some supply chain payments, health insurance payments, some professional service payments. So that will come down pretty quickly from that number that we would be looking at on our press release of $45 million, $46 million down to something probably closer into the $30 million-$35 million range pretty quickly here.
Matt Robinson: And if – given the depreciation and I didn’t quite catch the America’s revenue number either so?
Ken Arola: Sure. Let me get that out again. So depreciation and amortization is about $3 million a quarter. And the other question was – what was the other question Matt?
Matt Robinson: I am sorry burden over this, just Americas and Canada?
Ken Arola: Yes. North America number was 40% of revenues for the quarter. Latin America was 9%, EMEA was 42% and APAC was 9%.
Matt Robinson: Thanks a lot.
Operator: Thank you. Our next question is from the line of Christian Schwab from Craig-Hallum Capital. Your line is open.
Christian Schwab: Great, thanks for taking my question. I have a couple of questions. The first one has to do with the euro in European sales did you have any lingering effects with the drop in currency?
Ken Arola: Not this past quarter. We had a nominal impact in relation to the euro movement for the quarter on revenues and expenses. During the quarter, the euro moved from about around 125 or 126 euros to the dollar down to a little bit below that 122 or 123. I think you will see a bigger impact with what’s happened in the last month to quarter three.
Christian Schwab: That’s what I am saying. Some of your guidance is a reflection of that?
Ken Arola: It’s a reflection of the movement in the exchange rates, yes.
Christian Schwab: Yes. Could you quantify that impact or do you have any of that yet?
Ken Arola: We have not quantified that for – we have quantified it internally, but not something we are going to talk about publicly.
Christian Schwab: I think I did the math myself anyway. The – so, this is a little bit tougher question, okay. What is our ultimate OpEx goal? Okay, the reason why I say that is before you bought Enterasys, you are doing $299 million and making $0.18 on your own. And now we have put the two companies together and revenues have gone down and we are going to make less than that this year. So, obviously, this has not gone well at all. And so you guys were running at about $73 million OpEx give or take, Enterasys was running a little heavier. At what point and I know Chuck, you were put in a position to fail or a position of extreme difficulty in this acquisition since you were told shortly after you joined the company that you had bought it without having your own team together to take a look at what you had, let alone figure out what you had at Extreme? But now that you have been there a while, we have upgraded the sales force. At what point in the future should we anticipate OpEx in line with realistic quarterly revenue expectations?
Chuck Berger: That’s a broad question. So, let me cover it and get to the answer regarding OpEx. First of all, I absolutely do not believe the acquisition and subsequent integration of Enterasys has to use your words, failed miserably. We have put two very different companies together, although they looked a lot alike from the outside. Last year, we managed to finish the year with just over 2% revenue erosion and we are right on track with where we expected to be from a synergy basis. We have certainly faced tough market conditions in the first fiscal quarter as well as the greatest depth of the integration issues that we were facing. People have asked me the question would I do the Enterasys merger? Again, the answer is absolutely yes. We would not be having even this favorable discussion if we didn’t have the scale that we have and still have if we didn’t have the completeness of product line that we have and if we didn’t have the attention that has been brought to us by things like the NFL which came through having the identified product line and relationships that were already started when we bought the company. We are attacking improved financial results certainly from two directions. One, we expect to drive revenue up each quarter. You made the comment that now that you have got the sales force straightened out, Jeff only joined the company in October, Stephen in November and Bob in December. They barely had time here to figure out what’s going on. That said there are three dynamos that are going at warp speed and making a lot of progress. But as I have said on my prepared comments, I think there is another quarter or two of effort before we really see the fruits of their labor. We are constantly looking at OpEx. One of Jeff’s beliefs coming into the company was that our cost of sales was too high. We have got work to do over the ensuing weeks and couple of months to be able to quantify that better, but we are very focused on not only the sales effectiveness, but the cost of sales as one metric of that. I think the top line continues to get driven just later than we expected with Lenovo and E-Rate and possibly other relationships that we have. But we look hard at expenses. We are going to – we have additional synergy driven expenses happening this quarter and next. Although they are relatively small, we are forcing ourselves on a tighter budget than we would have if we were closer to our plan on the top line. But we caused panic in the streets at the Needham Conference when we said if we missed revenue, we would look hard at expenses, any CEO or CFO would say that. At this point we are driving to get revenue up and as always be as responsible as we can on the expense line.
Christian Schwab: Okay, I think that’s a good answer. So then we should assume a conversation a few quarters down the road if we kind of are showing modest improvement, but not a whole bunch of leverage, modest success on the initiatives of growth we have laid out, we are still focused on finding a path or way to create greater leverage, should the business be a $550 million to $600 million business and kind of grow from there is that right or are we discussing…?
Chuck Berger: Yes. Certainly if that was the eventuality of this which we don’t believe will be the case, but our focus as it was frankly before I got here although it was a completely unreasonable goal at sub $300 million in revenue would be to get to a 10% operating margin and if we were to do so poorly as to be in the $550 million to $600 million scale, with that scale that’s certainly achievable.
Christian Schwab: Okay, alright. Thank you.
Operator: Thank you. Our next question is from the line of Simon Leopold from Raymond James. Your line is open.
Simon Leopold: Great, thank you very much. I wanted to follow-up on your comment about the June quarter in that I believe you said that you expected somewhat normal seasonal patterns in June albeit of the lower base you have indicated for March. So I am just trying to figure out whether or not that implies roughly $155 million or so sales, 15% up sequentially. And if that’s correct in terms of your description of the June seasonality what would drive that given that the Lenovo has been pushed out and the E-Rate funding issue is what it is, I am just trying to understand what gives you that seasonal boost in the June quarter unless maybe I am not following you?
Chuck Berger: So last year, our seasonal lift was about 10% and the prior year was 20%. So your math isn’t horrible. And I think several things will drive that, Lenovo won’t be zero, it’s just not enough to push us to the 10% year-over-year growth in $172 million, which is if you do the math what 10% year-over-year growth is in the fourth quarter. E- Rate last year was virtually zero. As I said that before I believe I think we can do between $5 million and $10 million of E-Rate business this quarter, this fourth quarter that wasn’t there in the prior year ago, hopefully more than that. And as I said everyday we are driving improvement and increased accountability across our sales force and our channels. And everyday I think we will see steps forward in that direction. So I believe there is more than enough things that we have control over and that are inside to Extreme Networks. And then on top of that, the fourth quarter – our fourth quarter, the June quarter is a seasonally strong quarter across the entire industry. As long as I have been in technology March is always a weak quarter after this kind of a deep breath after the year end spending flush, the calendar year end spending flush and people adjusting to – very large majority of them having new budgets and figuring out what their yearly plan is going to look like. And by June there is traction there, it’s historically high education market both in Higher Ed and K-12. We did a fair amount of business, I don’t remember the exact number in education last fourth quarter, even though there was no E-Rate, it was $12 million less than it would have been if we had just on the E-Rate business from 2013. So, we don’t have – I don’t believe there is the – enough there to standby our 10% commitment, which would – which is a pretty big jump from your estimate of $155 million to $172 million, but there is certainly a lot of other factors that will push us in the direction you are talking about.
Simon Leopold: That’s very helpful. And then in light of the E-Rate timing, does that lead you to think that your September quarter might have a more modest seasonal decline than you have in the past, so maybe you end up having a little bit more linear pattern throughout the calendar year than your historic or is it simply that schools buy in June, they don’t buy in the September quarter, so we shouldn’t count on that. How do you think about that?
Chuck Berger: As I mentioned to a similar question before, I think there will be a lesser seasonal impact in the September quarter, hard to quantify at this point, but there will be more education spending. People will rush after July 1 still to try and get major upgrades done, while there is summertime left. And if they are forced to drag it into the school year, they will.
Simon Leopold: Okay. And then in this December quarter you just reported, did the wireless LAN business exceed 10% of revenue, and if so, maybe if we can ballpark it?
Chuck Berger: Very close.
Simon Leopold: Are you looking more carefully or is that the final answer?
Ken Arola: Simon, it’s a little over 10% of product revenues.
Simon Leopold: Okay. Okay, great. And just one last one, I guess going back to this Lenovo issue that I think is sort of the big instrumental here. So, all along, we have known that it’s a big complicated deal and a lot of moving parts and geographic challenges. So, I think what I am struggling with today is what’s different or what’s changed? Part of what I am wondering is Extreme is a pretty small company, a small part of this and is it simply that you are not tight enough in the discussions, it’s sort of after the fact or did something actually change in terms of the integration or are there challenges that weren’t anticipated? That’s what I am really trying to focus on is what’s different from what you knew a few months ago on this integration?
Chuck Berger: Well, on the positive side, we are exactly where we thought we would be on things like being on the price list being in their literature, having airtime with the legacy Lenovo sales force. To the extent anything has changed, I think we overestimated how fast this gigantic nearly $5 billion business with a very different cultural background than the rest of the Lenovo business could be absorbed and could take on some of these partnerships.
Simon Leopold: And what’s your basis then for saying it takes 2 to 4 quarters? Is it conservatism or do you have a sound reason to think that it’s beyond, let’s say, September?
Chuck Berger: I would like to believe it’s conservatism. That said we want to be conservative, because it’s hard to predict this. It’s I think anyone I have ever known who has done one of these including ourselves over the past year and a half, numerous things happened slower than you wish they would. We are fortunate that a bunch of things happened faster, but we also are still wrestling with some issues around IT infrastructure for service and other things. And we although had a big cultural integration issue, I think ours is much smaller than theirs. And I think that’s the hardest part of this to predict.
Simon Leopold: Great. Well, thank you for taking my questions.
Chuck Berger: Thanks, Simon.
Ken Arola: Thanks, Simon.
Operator: Thank you. Our next question is from the line of Alex Henderson from Needham. Your line is open.
Alex Henderson: Thanks. I was hoping I could go back to the G&A comment. I believe you said that it was $1 million in expenses in the quarter on G&A that would not – it is a one-time item. So, is it reasonable to think that G&A is down $1 million sequentially?
Ken Arola: Yes, the G&A would be down, not necessarily $1 million, because again it was not quite $1 million it was approaching $1 million dollars Alex. But also the things to keep in mind for the March quarter is everybody yourself included gets reset as far as your taxes are concerned. There is benefits that get reset and other things. So across the board you will have naturally some increase in expense in quarter one. And then as people hit their tax rates or limits that comes down over the year. So we will see a jump from quarter four or from the December quarter to the March quarter for those kinds of things.
Alex Henderson: I see. And going back to the growth question that I asked earlier, if campus is 60% to 65% of the business, I am just not seeing how I get to 10% growth because that means that 30% or 35% of your business needs to generate almost 30% growth rate to get to 10%. So can you help me out with understanding how I do that math. And then second what is it about the data center business that you expect to cause the acceleration. It’s my understanding that the Summit hasn’t seen much traction so far and that the new chassis product also hasn’t seen much traction so far, so what gives you confidence in that data center picking up?
Chuck Berger: Well, to the first question I would reiterate what I said before, it’s not just wireless or just data center. It’s across the board improved sales force effectiveness. As a 3% or 4% market share player in the wired campus marketplace I think we can do much better there even though the industry itself is not growing. We showed last quarter that the initiatives we are taking on the wireless market can have a significant impact. And we also saw data center grow, neither of them large enough or growing enough to carry a full 10% growth or we wouldn’t be having discussion about fourth quarter that we are having. But again add growth in those segments, add market share – better sales force execution which hopefully – which we believe will get us market share gains in the wired campus market. Remember, we entered this year we weren’t even on the Gartner wired, wireless LAN magic quadrant, now we are on it and far up and to the right. We weren’t even surveyed in the Gartner wired/wireless access layer fitness report and now we are fourth of roughly 10 companies in 5 of the 6 categories and remarkably the one we weren’t that highly ranked as venues, even though everything every venue deal we have gone to bat on virtually we have won. So I think there is a lot happening there, Lenovo E-Rate potentially over time Ericsson to drive that growth.
Alex Henderson: If I can go back to E-Rate, I think the comments you made was $5 million to $10 million in the June fiscal fourth quarter, is it reasonable to think that that could be at – that E-Rate in general on an annualized basis form July 1 through July 1 could be in the order of say $30 million or $40 million annually, is that the right way to think about it that it could produce that kind of annual growth or is that something that really only kicks in for a couple of quarters and then falls back off, how should we be think about that curve?
Chuck Berger: Well, to give you some metrics in 2013 E-Rate was $18 million of business for the pro forma combined company, $12 million of that came in the fourth quarter. Given this July 1 threshold and we may get to that level in the fourth quarter, but we are again trying to be conservative and estimating between 5 and 10. I think there was at least in total across the fiscal year ‘16 that $18 million potential and hopefully more because as I mentioned first of all the pot is bigger and recently got increased from $1 billion to $2 billion. And second of all, we have far greater focus and are far more in front of this than we were as a company in 2013.
Alex Henderson: So is it reasonable to think that you could do some thing in excess of $20 million in FY ‘16?
Chuck Berger: Certainly it wouldn’t be unreasonable.
Alex Henderson: Okay. I got it. Thank you.
Operator: Thank you. Our next question is from the line of Simon Leopold from Raymond James. Your line is open.
Simon Leopold: Great, thanks. Just a real quick follow-up, it appears that towards the high end of your guidance, the earnings could be better than the loss of $0.02 to $0.03 that you are forecasting. I am just wondering if there is anything below the operating level in terms of either other income or taxes that we should be aware of in coming up with our earnings estimates. Thanks.
Ken Arola: Hey, Simon, this is Ken. No, I mean, I think taxes this quarter is $1.3 million. We are pretty much just paying statutory taxes around the world and this predominantly represents international taxation. And I think that will be the same as we go forward for the next several quarters are very close to it. Other income expense, again, it just kind of fluctuates around that $1 million mark give or take a little. We are not seeing anything at this point that would move that needle a whole lot. So from our perspective, it’s managing our expenses to the lower end to the range that we gave will help us get better than $0.02. And if we can continue to work on our operating – our cost of goods sold and continue to drive that cost down and move gross margins up, that has the opportunity to do better than $0.02 as well.
Simon Leopold: Okay, thank you.
Operator: Thank you. That’s all the time that we have for questions today. I will turn the call over to speakers for closing remarks.
Chuck Berger: Thank you, Andrew and thanks all of you for joining the call today. As I said, I believe we made solid progress in this just finished second fiscal quarter with a significant sequential growth in revenue and tremendous strengthening of our balance sheet. While we are backing off on the 10% and 10% commitment in the fourth quarter, we do believe we will get that in 2 to 4 quarters beyond that and show continual improvement on both lines as we move in that direction. Hopefully, we will do better, but we are very encouraged as I mentioned the growth drivers of Lenovo, improved sales and channel execution, and E-Rate we think just get better as time passes. It will just take a little longer than we thought. So, our confidence in the business continues to be high and we look forward to talking to you again in about three months. Thank you.